Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss NV5's Financial Results for the Third Quarter ended September 29, 2018. Joining us today are Dickerson Wright, Chairman and CEO of NV5; Michael Rama, CFO of NV5; Alex Hockman, COO of NV5; and Jenna Carrick, Investor Relations Manager for NV5. I would now like to turn the call over to Jenna Carrick.
Jenna Carrick: Thank you, operator. Before we proceed, I would like to remind everyone that this conference call may contain forward-looking statements within the meaning of the safe harbor provisions of the United States Private Security Litigation Reform Act of 1995, including statements concerning future events and future financial performance. The company cautions that these statements are qualified by important factors that could cause actual results to differ materially from those reflected by the forward-looking statements contained herein. All forward-looking statements are based on information available to the company on the date hereof, and the company assumes no obligation to update such statements, except as required by law. I would like to remind everyone that a webcast replay of this call will also be available via the link provided in today's news release and the Investors section of the company's website. Any redistribution, retransmission or rebroadcast of this call in any way without the express written consent of NV5 Global is strictly prohibited. We will begin the call with comments from Dickerson Wright, Chairman and CEO of NV5; followed by an operations update from Alex Hockman, Chief Operating Officer, for a review of some of the significant third quarter accomplishments; followed by Michael Rama, Chief Financial Officer, for a review of the third quarter 2018 and year-to-date financial results and outlook for the rest of the year. We will then open the call for your questions. Dickerson, please go ahead.
Dickerson Wright: Thank you, Jenna, and thank you to everyone joining us for NV5's Third Quarter 2018 Conference Call. After the close of the market today, we issued a news release announcing our financial results for the third quarter and 9 months ended September 29, 2018. We are pleased to report continued excellent performance for the third quarter and year-to-date, which includes positive contributions from our operating verticals. We saw organic growth of 8% for the quarter and 10% year-to-date. In the third quarter, revenues increased 14%. Earnings before interest, depreciation, taxation, amortization or EBITDA increased 10% and net income increased 23%. Adjusted earnings per share for the quarter increased 9% to $0.82 per share over approximately 12 million shares compared to $0.75 a share over 10.8 million shares in the third quarter of 2017, all of which were increases in the third quarter 2018 over the same quarter in 2017. Backlog increased to $342.3 million, representing a 25% increase over the same period in 2017. As we continue to grow, we strive to create an organization of inclusion with our clients, employees and shareholders. All of us are in this together and we know that this belief in pulling together has contributed to the success of NV5. Now I will turn the call over to Alex Hockman, NV5's Chief Operating Officer, to take a few minutes to highlight some of our specific accomplishments for the quarter.
Alexander Hockman: Thank you, Dickerson, and good afternoon, everyone. Our infrastructure vertical continues to grow organically with large contract awards in our East and West regions. Specifically, in Q3, we were awarded a $5 million contract with the New Jersey Department of Transportation, a $10 million contract with the New York City Department of Transportation and a $20 million contract with California Transportation District 10. NV5 has a long history with our Department of Transportation clients, and our diverse expertise allows us to provide services from the design phase through construction and throughout the life cycle of the asset. Our transportation experience is also recognized by the cities and counties, and in Q3, we were awarded three municipal contracts totaling over $11 million. Our infrastructure group has expanded into the Southeast with the acquisition of CALYX, a 200-person infrastructure engineering and survey company with offices in North Carolina, South Carolina and Georgia. And we were selected for the North Carolina Department of Transportation 2019 to 2020 location and surveys limited services contract for $17 million. Our national energy group continues to grow and won over $9 million in contracts with large Southern California utilities. We were also awarded a three-year master service agreement for a full service of energy efficiency services, including design, program management and public outreach. This contract is a testament to our diverse service offering to the energy, power and utility sectors. While our building technology and sciences group experienced temporary project delays in Q3, the forecast is optimistic as we have increased our backlog. Some of the key market sectors for our BTS group include airports, education, hospitality and health care. The commissioning division of the BTS group won projects with key values in excess of $4 million in those market segments, with clients that include the University of Texas, the University of Minnesota, the Salt Lake City Airport and the Veterans Administration. Our design and program management divisions of BTS won over $7 million in new contracts with municipalities, transportation and airport authorities and the health care and hospitality market sectors. BTS Asia was selected for a feasibility study for the Hong Kong Mass Transit Railway Corporation, which is a result of our technical service offerings and the Band 2 level obtained with the CSA acquisition announced last quarter. BTS Asia has also won projects with the Wynn Macau, the fashion retail areas for the Abu Dhabi Airport Midfield Terminal, the City of Dreams in Cyprus and other notable projects in China and Taiwan. We also continue to integrate technology while delivering high-value services. Our drone survey service is providing a differentiating technology and was used to collect survey data on over 300 acres of the Brooklyn Navy Yard. Using conventional techniques, the task would have taken several weeks but was completed in approximately four hours using our drone-based photogrammetry technology. Our energy analytics group, which implements a subscription-based revenue model, won a $400,000 contract with MGM Macau and a contract with a prestigious Southern California city for a water treatment plant. This project lead was through the infrastructure group and is an example of our cross-selling initiatives and how this technology can support all market sectors. Our focus on cross-selling generated $4.5 million of contracted revenue for Q3, converting potential subcontractor fees to net revenue. Cross-selling is occurring across verticals and geographies and allows us to have our most qualified professionals serving our clients. I would now like to turn the call over to our Chief Financial Officer, Mike Rama, for a more detailed overview of the financial results for the third quarter and 9 months ended September 29, 2018 and the outlook for the balance of 2018. Michael?
Michael Rama: Thank you, Alex, and good afternoon, everyone. First, I will review the company's results for the third quarter and for the 9 months ended September 29, 2018, and then I will provide an updated outlook for the remainder of 2018. Gross revenues in the quarter -- in the third quarter of 2018 were $104.2 million, a 14% increase compared to gross revenues of $91.3 million in the third quarter of 2017. Net revenues for the third quarter of 2018 were $84.4 million, an increase of 13% compared to net revenues of $75 million in the third quarter of 2017. These increases were due to organic growth of 8% as well as the contribution from acquisitions closed during 2017 and 2018. EBITDA for the third quarter of 2018 was $14 million or 17% of net revenues, an increase of 10% from $12.7 million or 17% of net revenues in the third quarter of last year. Net income in the third quarter of 2018 was $7.3 million, an increase of 23% compared to net income of $5.9 million in the third quarter of 2017. Third quarter 2018 adjusted earnings per share, which excludes the impact of amortization of intangible assets from acquisitions, was $0.82 versus $0.75 in the third quarter of 2017. Third quarter 2018 GAAP earnings per share was $0.62 versus $0.55 in the third quarter of 2017. Our third quarter 2018 adjusted and GAAP earnings per share reflects weighted average shares outstanding of 11.7 million shares for the three months ended September 29, 2018, compared to weighted average shares outstanding of 10.8 million shares for the three months ended September 30, 2017. The increase in weighted average shares outstanding reflects the issuance of 1.27 million shares of common stock from our secondary offering in August 2018. Now we'll review the year-to-date results for the 9 months ended September 29, 2018. Gross revenues in the 9 months ended September 29, 2018, were $302.7 million, an increase of 27% when compared to the same period in 2017. Net revenues year-to-date in 2018 were $245.8 million, an increase of 26% from the same period in 2017. These increases were due to organic growth of 10% as well as the contributions from acquisitions closed during 2017 and 2018. EBITDA for the 9 months ended September 29, 2018, was $37.3 million or 15% of net revenues, an increase of 34% from $27.9 million or 14% of net revenues for the 9 months ended September 30, 2017. Net income for the 9 months ended September 29, 2018, was $19.2 million, an increase of 54% compared to net income of $12.5 million for the 9 months ended September 30, 2017. Adjusted earnings per share for the 9 months ended September 29, 2018, was $2.33 versus $1.67 for the same period in 2017. GAAP earnings per share for the 9 months ended September 29, 2018, was $1.71 versus $1.16 for the 9 months ended September 30, 2017. Our year-to-date 2018 adjusted and GAAP earnings per share reflects weighted average shares outstanding of 11.2 million shares for the 9 months ended September 29, 2018, compared to weighted average shares outstanding of 10.7 million shares for the 9 months ended September 30, 2017. The increase in the weighted shares outstanding reflects the issuance of 1.27 million shares from our secondary offering in August 2018. As of September 29, 2018, our cash and cash equivalents were $56.2 million compared to $18.8 million as of December 30, 2017. Cash flows from operating activities for the 9 months ended September 29, 2018, were $17.6 million compared to cash flows of $5.7 million in the 9 months ended September 30, 2017. The increase in cash and cash equivalents reflects net proceeds of $93.5 million from our secondary offering in August 2018, partially offset by repayments of long-term debt of $43.9 million. At September 29, 2018, we reported backlog of $342.3 million, an increase of 25% from $274.5 million as of September 30, 2017. Our backlog is an estimate of revenues to be recognized over a rolling 12-month period. Now moving on to our outlook for 2018. We are raising our 2018 guidance for revenues and earnings per share. We expect full year 2018 revenues to range from $415 million to $430 million, which represents an increase of 25% to 29% from 2017 gross revenues of $333 million. Net revenues is expected to range from $332 million to $344 million, which represents an increase of 24% to 28% from 2017 net revenues of $268 million. We expect full year 2018 adjusted earnings per share will range from $3.23 to $3.43 per share, an increase of 36% to 45%. We expect full year 2018 GAAP earnings per share will range from $2.39 per share to $2.59 per share. This guidance excludes any anticipated acquisitions for the remainder of 2018. I'd like to now turn the call back over to our Chairman and CEO, Dickerson Wright, for further comments.
Dickerson Wright: Thank you, Michael. I would like to comment on our continued focus and dedication to mergers and acquisitions. We have added this year over $100 million in run rate revenue through acquisitions that will be fully recognized in 2019. Our most recent acquisition, CHI Engineering, that we announced early this week, provides engineering, procurement, construction management services to the liquefied natural gas, petroleum gas and natural gas industries. CHI's client base includes more than 80% of the 140 LNG facilities in the U.S. The acquisition will complement NV5's rapidly growing power group in the West and drive the expansion of energy services nationwide. Our current pipeline for acquisition is the fullest we have seen. Our opportunities are not only internally generated, but more and more targets are being brought to us. We are being recognized in the industry as an acquirer that creates opportunities for companies to best join NV5. We continue to see opportunities that will densify our existing service lines and deliver high organic growth and profit margin above industry standards. This completes our prepared remarks, and now we'd like to open the call for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Jeff Martin from ROTH Capital Partners.
Jeffrey Martin: Could you elaborate on your comment about some project delays in BTS?
Dickerson Wright: Yes, I'd be happy to do that. I can't speak to the specific projects, but the major driver in the delays has been the -- in our hospitality market. And in -- we expected a major project to start. It's been delayed now for 6 months on a casino, a very large casino project that we're not at liberty to disclose the name. That had a significant impact on that delay. We were just recently awarded additional work in Macau that will be -- that we'll see the effect of that in the fourth quarter. But most of that delay has been in the vertical work in the casino area. We've also seen some delays in our university work in the Northeast and in North Carolina, but we expect those projects to come online too. So we're still optimistic about building a technology, but we did see some delay in projects that impacted us.
Jeffrey Martin: Are you able to quantify the revenue type to that? And do you -- over what time frame do you anticipate that coming on board? Or do you have visibility to that yet?
Dickerson Wright: Well, it's a two-edged sword, Jeff. The -- as long as we don't start recognizing the revenue, then that certainly increases the backlog. So -- but I would, as far as the timing of these, we expect them to start in the -- these projects to start in the fourth quarter. We've seen some significant awards that we had hoped to get started sooner. And one additional delay is at the LAX Airport in the Bradley terminal, but we're starting to see work on that. As far as quantifying that, that would probably represent about 5% to 8% downturn in revenue that we were expecting.
Jeffrey Martin: 5% to 8% in the quarter?
Dickerson Wright: 5% annualized. Well, you saw it in this quarter, but we thought a 5% to 8% revenue in all of BTS. So that includes other areas of BTS too, not just the casino or university area.
Jeffrey Martin: And then, could you just speak to your energy vertical? My understanding is that it's been growing quite nicely over the past 12 months. And with the addition of CHI, it seems like you've had good growth opportunity within that area. I was hoping you could kind of give some color around that on the call today.
Dickerson Wright: The energy vertical, yes, we have an initiative. Hopefully, that will soon start. But we are really focusing on that because that sector alone, we're experiencing high double-digit organic growth. Some of that is a result of what the utilities and the public utilities are doing. And that is they want to outsource all of their services, and that's where you'll see -- and we really like the lead that we're going to be getting out from CHI and the gas markets. But what we see is something called EPC or EPIC, where the utilities are wanting not only to retain the engineering services, but they want to go to one sole source for engineering, procurement, inspection, installation and construction management. And so we really want to get a leader in doing this, and so we'd see a tremendous amount of growth in the energy business because our share of the revenue is going to be much higher now. So we expect that growth. I can't be speaking of too much forward thinking, but we are really looking at that to being a significant piece of our business going forward and maybe one of our largest verticals.
Jeffrey Martin: What was the contribution from acquired companies in terms of revenue in the quarter?
Michael Rama: About $5 million. For the year, it's $11 million, and for the quarter, $5 million.
Operator: Our next question comes from the line of Rob Brown from Lake Street Capital Markets.
Robert Brown: You talked about having a very full pipeline. What are some of the areas of acquisitions you're looking at? And how do you see that playing out in '19?
Dickerson Wright: Yes. Well, we don't -- we want to now -- we are fortunate enough that we can now start to densify our existing five platforms. And so we are looking at a high barrier of entrée and high EBITDA with higher organic growth in the markets. And we can be a little more selective now because they do not have to be platform acquisitions, but they could be very key acquisitions that really tie in, in that work. So the areas that we're looking at is, we are looking at subscription-based revenue and technology because we look at a high growth there. We are looking at continued work in the program management group because of the high return and we can densify that network. And we're starting to look also again in the RCQA area where we think we can really tie in some very, very good geotechnical foundation engineering firms to do that. And we're being very selective in -- now that we have a baseline in Asia. We're looking at very selective tuck-in acquisitions to support the existing network we have. But the key thing is, are they growing organically higher than the industry standard? And I was just looking at something. The organic growth for our industry, weighted average, it's only been 4.4%. So even though we're at 8% this year, it's double that. So we are looking for markets that are growing, that are very profitable, have a reoccurring revenue stream. And now we have that luxury of being able to densify our existing platforms.
Robert Brown: In terms of organic growth, you mentioned cross-selling is driving part of it, but is it -- are you in the right areas? Or maybe just some color on what's driving that organic growth.
Dickerson Wright: Well, you know, and I'll speak to some of that in our -- in the concluding comments, but I think the key thing, and I say this all the time, is to have an extremely flat organization where we can have our best people out facing to the client because we think that if the client wants to do it with people that can really solve, be problem-solvers there. So we often say, many times, and I maybe even said it to you or others that we don't want our people attending meetings for why they were asked. If they were asked for some environment consulting, if they were asked for design consulting, be the smartest person in the room for the reason you were asked so that you are a resource. So we tend to really grow the relationships with clients based on our people being out-facing. We want to do things that don't internalize our acquisition -- or organization. We don't want to have people in our support functions really being more worried about the running of the organization. We want to free up our best engineers, our best people, and we seem to win. We win in the areas that we are. So I think now we have the luxury of being very selective with high organic growth companies, but we really need to add value. And I think we do that best by having our best people in front of the client and having our organization being out-facing.
Operator: Our next question comes from the line of Lisa Springer from Singular Research.
Lisa Springer: I wanted to ask you about the scope of the opportunity in the liquid natural gas market and how the CHI acquisition is going to help you with that.
Dickerson Wright: CHI is well, well known in the industry for these more small domestic utilities. So we really feel that this is giving us something that we have a much longer-term relationships because they really deal in the conversion of -- as you know, the oil industry, we produce a tremendous amount of natural gas. The key thing was how do you ship it, how do you store it, and this is where the expertise that we have gained from CHI. The other thing that we like and why we think that's a very good platform for us in entering this space is that their services with domestic utilities, there is no LNG that's subject to tariff or tariff-holders or shipping to Asia or China. This is work that's done in-house. So where -- what we can do for them are twofold; one, they are very, very good service in a selective market. Now with our resources, our financial resources, our design platforms that we have with much larger utilities, we now have the breadth to add to them on a national basis. And so that's where we're really looking for that to grow. And believe me, the LNG space and the storage space and the conversion of natural gas is a really growing market and we're very, very excited about CHI joining us.
Operator: Our next question comes from the line of Tate Sullivan from Maxim Group.
Tate Sullivan: It sounded like -- was the total for DOT orders higher than normal or was that -- is that pretty consistent?
Alexander Hockman: This was a little bit higher than we've typically been able to realize, so we are seeing an uptick in the Department of Transportation work throughout the East and the West.
Dickerson Wright: That was Alex Hockman answering your question, Tate.
Tate Sullivan: And in addition, following up on other acquisitions, can you go into how you -- give examples maybe of how you have cross-sold your energy, your power delivery business. I mean, what is the ramp-up time? How long does it take to sell what you're doing in California and across the country, for instance?
Dickerson Wright: Well, it can take -- it can be very -- a long-term process or it can be immediate. Fortunately, with some of the clients that we have where we are really located, they rely on us, so they will call us for projects and they will say, so those are very quick. If there's a project that we have to really chase and really look for many times, we won't go after it. We either have to have a very strong relationship with the utility already or we're very -- we are selective because we want to have our technical people really focused on billable work, driving the business and going forward that way. Your question was how do we go about doing that and [indiscernible] with cross-selling, yes. Well, cross-selling, we -- and I was going to speak to that in our concluding comments, but I might as well make a comment now. We have now about 107 offices nationwide in the country. And we have a Chief Synergy Officer who does nothing but -- I mean, he does many other things, in case he's listening right now, but he does -- one of the main focus he does is tie in, make sure that every office in our company knows what every other office is doing. So we have a biweekly call, we have a webcast. We recently acquired the company CALYX, and they delivered a webcast for all of our companies on the services they do. And in turn, there is an internal document that tells every bit of work we're doing, how we're winning it, how we're rewarding it and how we're including our people. So our sales force is -- our national offices and including them to do the work. So cross-selling, we say cross-selling has to be measured because we don't want to say -- we want to know how much of this work we are keeping internally. And that's why we really focus on the reduction of sub-consultants and so that our other offices can be doing the work.
Tate Sullivan: And a follow-up on that too. For your California engineers with expert and power work to work on a project and then the stake on the East Coast, do they need a different certification in that area? Or can an employee do it in that state or is that an issue?
Dickerson Wright: Well, it's only an issue, but it's more for a technology issue. It's not a certification or a licensing issue. We have many licensed engineers in every state. But we now have spent a tremendous amount of money on software so that our design and engineering professionals can be doing work. We do work in New York for California and vice versa. We do work in Las Vegas for Asia. Asia does work for many of our offices in Boston. And this is all linked, all linked from software so that we can do much of that -- not the fieldwork, but this is mainly the design work, and most of the work that we can do remotely is connected by technology and the software that we have.
Tate Sullivan: Michael, can I ask a quick question on gross profit margin? And I think you said before that you can usually keep it in a consistent range. I mean, how can you do that? Is that based on how you price the contracts versus salary costs? Or how can that stay so consistent?
Michael Rama: Gross margin is going to be a function of really the projects we're working at the time. So it could ebb and flow between -- from the high 40s to 50s, 51%. So it just ebbs and flows by -- based upon the mix of projects that we're working on.
Tate Sullivan: And then I thought with an acquisition, usually closing an acquisition in the quarter, I'd expect an uptick in SG&A here as a percent of revenue or percent of prior backlog. Why wasn't that the case in 3Q?
Michael Rama: Well, we've become scalable on our -- within our acquisitions that we've incorporated from last year, so we're seeing the -- a lot of synergies and the integration of those acquisitions are fully baked into our systems from last year. So that's what you're really seeing as well.
Dickerson Wright: And I think, Tate, remember, we don't want to have a centralized mammoth organization. So we absolutely have to be scalable, but we look and we don't acquire turnaround situations. So the operations we're acquiring are very, very profitable. There is no rush to standardize their operations. We can take our time. And I think in the case of the recent acquisition with CALYX, very profitable and there's not a rush to duplicate that SG&A. And so we've just -- we haven't really had any -- we haven't seen that impact yet on SG&A.
Operator: [Operator Instructions] Our next question comes from the line of Rudy Miller from Miller Capital.
Rudy Miller: First of all, some of my questions were asked by all the articulate investors who've been involved. But going back with you since you're early public company where you were CEO that you sold out, how many acquisitions would you say that you've stored through your previous company and currently with NV5 just in general? Do you mind giving a little color?
Dickerson Wright: Yes, I'll be very general, yes. Well, Don Alford, who's our M&A guy that many people know and...
Rudy Miller: He's a UVA graduate and an ex-Marine, but go ahead.
Dickerson Wright: Yes, that's right. He likes to say that we've done 90 acquisitions together. Some of them, as you know, when we first started out, were very small. And even in the case of NV5, some of them are very small, but they tend to get larger now. So I think this is our 30 -- CHI was our 32nd acquisition as NV5. So there was a series of acquisitions prior to that. And that meant U.S. Labs and then also, we did a lot of acquisition work for -- when we were acquired by Bureau Veritas. We did a lot of work in building their platform through acquisitions also.
Rudy Miller: Well, Dickerson, I think one of the things that -- since I've been through those processes over the years, and then the original investor in ROTH Capital and still a major shareholder, and then your previous company, I was a shareholder before you did this in your second generation because you're such a young guy, is that your expertise of making your objectives and your models regarding acquisitions and your integration but still keeping a culture is unique because you're in the metal services business with your assets walk out of the door, and then you've just done a great job of shepherding that over the years. And as a shareholder, I just want to make that point to a lot of people that may have only been with you on the recent -- as you've gotten larger, you've got more exposure, but I was there when you were much smaller and still have the same respect for you. On a couple of other -- now I gave you the softball question and comment, I want to go forward currently, in my shareholder status, is that -- basic question number 101 is, and I'm not concerned about the guidance you've given to date, even with the casino and the other issues because you've given us a range. But what I am going to ask you is what is your biggest concern over the next 24 months going forward with NV5 international? What is your biggest challenge from your perspective? And are you prepared for that and/or other challenges? And that's what I'd like to hear, not what you've done historically, not where you're at today and even the short -- the guidance for the next 12 months in general, but what is your biggest challenge?
Dickerson Wright: That's -- well, you certainly can't be prepared for what you don't know. So I think that I would say it's not any stroke of uniqueness or genius on our part. But we always want to be in an industry that is not mandated by the economy. So we are very blessed to be in the -- in our engineering infrastructure industry. And I've said that many times, people have to go over bridges that don't fail whether the economy is good or not. They have to drink clean water whether there's a good economy or bad weather. They have to treat waste whether it's a bad quarter. And we have such a push in population growth that this is all chasing finite resources. So we're fortunate enough to be in a blessed area. But internally, what I look at is how can we grow our company and keep it flat? How do we keep our best people with us, keep our best people motivated? And I think -- and I'm going to speak to that on -- we want to have a culture of inclusion. So when we look at acquisitions, I think sometimes, the best things that we do -- and we're fortunate enough to be very selective. There's still many, many opportunities, but we are cultured. We define the culture. And if they can match -- but we want partners, we want shareholders, we want people with us. So if someone is saying to us, "You just -- you let us do our thing. We're going to deliver profit. We're going to deliver everything," we say no. We want to include these people. We want to add value. And so I think the key thing is, how -- and I say this to all our people, and that's why we're called vertical 5V flat [ph]. I want our leaders to lead. I want our people to feel like they are included, to feel like they're partners, to feel like they're part of things. And you know if you do that, if you have partners and shareholders, you don't worry so much about the people leaving if they're motivated. And the survey say, why do people leave jobs and -- or their employment. They're going to tell you everything about the macroeconomics. But the key driving reason is the relationship they have with their company and with their supervisors. And we do our best, our very best to stay in touch with our people. And so twofold: one, we want to do everything we can to retain our people. We want to have key shareholders in our company. And I think we have them and we don't have to worry so much about dilution and accretion of an acquisition. And the second thing, we're blessed to be in a market that does not have to be created. It's a market that's there. It's infrastructure, it's the driving population that demand services that we provide. So I mean -- but Rudy, we're one foot in front of the other. That's really what we are. It's not -- it's just kind of the sledgehammer hitting us in the head a number of times. You don't do that again. So over the years, that's been our motto.
Rudy Miller: Dickerson, two follow-ups, short questions and I'll let you go to the next person with questions. And that is -- number one is, why -- let me rephrase this. With the acquisitions you are -- you have made and those you're in negotiations with because you're always in negotiations, and subject to completion and diligence, which are coming as proven track record in. In fact, I go back -- I'm reminiscing and I'm looking at an article in 2002, Wall Street Journal article. It said lower-priced shares back in California, offering fix of selected U.S. Laboratories Inc. which happens to be a small company in the engineering services business, which happened to be Dickerson's early company. But on that basis, what gives you the ability to acquire a competitive company against larger competitors where they choose the transaction with you? And how are you able to compete economically on those acquisitions with bigger competitors?
Dickerson Wright: Well, we are blessed in this market of -- there is -- people fear assets walking in and out of the door every night, but it's those assets you have to win over. So most of our people and people that sell the company, they want to know that they're contributing to your success. They want to know that they have a part of it. And so we can and we want to put -- that's why we want to put shares, that's why want to put our stock in the deals. We want people to know that they have a part of it too. They're part of it. And so we don't really have a big problem with -- in dealing with the larger companies because most people of today are -- it's not as appealing that they're going to be the regional manager of a divisional manager and there's -- they don't really know what their contribution is. And I was told once recently by a very good, young engineer that left a larger company. He said after he got to his second person reporting to, it was completed dark. He had no idea what was going to be -- or what his contributor was. So we really make people feel that the -- joining us, they get the chance, of course, to capitalize on the business they built but they really have a future with us. And so that's really what we try to sell. And believe me, we say no way more times than we say yes. We still probably have 12 to 15 deals under due diligence. And we don't -- we rarely, if ever, lose anything on price.
Rudy Miller: So from a competitive perspective, I guess, it all boils down to -- since you're doing a mundane engineering services that may not be as exciting to the average investor in some cases, but it comes down to culture and historical track record and you continue to execute. Would that be a fair statement?
Dickerson Wright: Well, I think a lot of it is our people. I think we want to...
Rudy Miller: Well, I mean, that whole deal is the culture of the people, right? Without your people, you don't have revenue.
Dickerson Wright: Yes, we keep gaining good people. And so yes, I mean, I don't know...
Rudy Miller: Well, that -- okay, I...
Dickerson Wright: We do what works for us.
Rudy Miller: Well, that's what I'm trying to do, is how you're competing against the other major companies that are much larger in financial base than you are. And I think you just gave me the key components to it.
Dickerson Wright: Take the station [ph] much in case those large companies are listening right now.
Rudy Miller: Well, just write a big enough check on the seller, okay?
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd now like to hand the program back to Mr. Wright for any further remarks.
Dickerson Wright: Well, thank you, everyone, and thanks for listening to our call today. Many of the comments and questions we've had -- and I think because we've had people and analysts and people and investors have been with us for such a long time, many of the points that I wanted to cover in concluding comments were asked. So let me just recap. I think in retrospect and looking at our company, we really try to be a company of inclusion. We try to have an organization that includes people. We want people to feel that we're all part of this together. So it's inclusion of our clients, it's inclusion of our shareholders and most of all, it's the inclusion of our employees. We want to know that -- those people know that they have access to, that our leaders lead and that we are really interested in what they are doing. So we try to do this by having a flat organization, an organization that's responsive, and I think we really want to be more than the typical engineering company. We want to know that people -- we have good driving young people. You heard Alex mention about some of the things that we're doing with our drone surveying and the technology. And these all are coming from people that are very intelligent, wanting to be with us and wanting to grow the company. So I feel that as long as we can do that, as long as we can stay in touch with our clients, in touch with our key employees and shareholders, we will have a very successful company. So we want to thank everyone for the support that you've given us over the years, and we will try to continue to grow the company and grow the company, a company of inclusion. So thank you, everyone, for your comments today and your questions, and we look forward to speaking to you at the -- in the fourth quarter.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.